Unidentified Company Representative: Good afternoon, everyone, and a warm welcome to the Verbio Earnings Call for the First Half of the Fiscal Year 2024-2025. Today's speakers are Claus Sauter, CEO of Verbio; and Olaf Tröber, CFO of the company. They will walk us through the company's performance of the first half of the fiscal year, touching on key milestones, market trends, and strategic initiatives. But before we dive in, a quick housekeeping note. The conference is being recorded and all participants are in a listen-only mode. [Operator Instructions] And without further ado, I'll hand it over to Mr. Sauter and Mr. Tröber. The floor is yours.
Claus Sauter: Thank you very much, Harry. Good afternoon everyone, and thanks for joining us for our second quarter of 2024 2025 and half year earnings call. I am here today with Olaf Tröber, our CFO. Looking back at the past six months, we've made good progress on our major growth project, our ethenolysis plant in Bitterfeld. From 2026, we will produce first amounts of renewable molecules at our Bitterfeld site for the chemical industry. These specialty chemicals are key ingredients in detergents, cleaning products, high-performance lubricants, and plastics. With this, we are driving the transition from fossil-based to renewable raw materials in the chemicals sector. Meanwhile, the ethanol plant start-up in Nevada hasn't gone as smoothly as expected due to equipment malfunctions. We are working at full capacity to resolve these quality issues and ramp up operations. The technology and process in Nevada are proven and reliable; hence, our long-term outlook remains fully intact. Shifting to our operating results. the recovery of the greenhouse gas market is not happening as quickly as we anticipated. Operating conditions continue to be challenging in the German greenhouse gas quota market due to the huge oversupply of greenhouse gas credits created from fraudulent products. Fortunately, we are seeing things stabilize, thanks to national and international measures and expect to see significant improvement in the region in calendar year 2025. Despite these challenges, we delivered a strong second quarter, particularly thanks to our Biodiesel segment performance. Verbio continued to focus on operational excellence, which resulted in gross margin improvement quarter-over-quarter and year-over-year, in the segment despite lower spot market spreads. With that, I'd like to turn it over to Olaf, to take us through some financials, and then I'll come back with my thoughts on 2025. Olaf, the floor is yours.
Olaf Tröber: Thanks, Claus, and good afternoon, everyone. I will start with an overview of the first half of 2024-2025, before diving into Q2. So the first slide key figures. We once again can report record production volumes. The year-over-year increase in ethanol volumes, the light green bars in the chart on the far left, was driven by better utilization in all regions and specifically at a plant in South Bend. Now, previous owner of this ethanol plant has managed to produce volumes like that, in the past 20 years. Our RNG production volumes also increased, thanks to better utilization at our plants in Nevada and India. Yet our EBITDA declined to €14.3 million, mostly on the back of weak first quarter -- of the weak first quarter. Average product margins in the first half of the year were much lower, than in the same period last year. This was largely due to an oversupply of greenhouse gas reductions caused by the fraud in the German market. Notably, in the first half of 2023-2024, Verbio was still benefiting from higher contractually fixed greenhouse gas premiums, making last year's comparison basis quite tough. Our net debt at the end of December, stood at roughly €97 million, as we continued to invest into our key projects. These include mainly South Bend Ethanol and our plant for Specialty Chemicals in Germany, Claus mentioned before. While we continue to invest, we proceed with caution, and keep our focus on our balance sheet strength. Capital expenditures totaled €36 million in the second quarter and €62 million for the first half, 2024-2025. Meanwhile, our operating cash flow remained positive and was quite good. The equity ratio was still close to 65% and remained largely stable. With that, I will turn to Q2. So overview 2024-2025, as Claus already mentioned, the second quarter was overall satisfactory, considering the challenging markets and the continued burden from our North American operations. As expected, we saw a strong recovery in the second quarter 2024, 2025 compared to first quarter of the current financial year. EBITDA for the second quarter stood at €20.8 million compared to minus €6.6 million in the first quarter and €26 million in the same period last year. Quarter-over-quarter, both main segments: Biodiesel and the combined segment Bioethanol/Biomethane showed a significant improvement in EBITDA. In Biodiesel segment alone, EBITDA more than doubled. The significant recovery is due to attractive production margins, thanks to favorable rapeseed oil purchases compared to the spot market. The recovery in the Bioethanol/Biomethane segment compared to the previous quarter is largely due to development of changes in the value of financial assets and commodity futures. Next slide, please. Biodiesel segment. Let me now give you a bit more color on the individual year-over-year performance of the segment. As you can see in the chart on the left, revenues remained largely stable at €242 million at comparable production and sales volumes. Higher average biodiesel prices in the quarter were partially offset by lower greenhouse gas premiums and the fact that our Canadian plant has operated through processing contracts from December 2023 through November 2024 – November last year, which essentially means lower revenues and lower material costs. Despite more attractive greenhouse gas premiums last year, we managed to increase EBITDA by 25% year-over-year due to our focus on spread or margin management. We capitalize on higher biodiesel prices, thanks to favorable rapeseed oil purchases. Next slide, please. Welland update here. Well, speaking of Canada, much like many of our biodiesel peers in North America, we have reduced our production volumes at Welland, due to difficult margin environment. And well, it's worth to note this had been conservatively anticipated in our initial guidance because of expected challenges linked to the transition of incentive schemes from the blenders tax credit, BTC, for the production tax credit PTC. The BTC is feedstock agnostic, means electric cable [ph] parties receive $1 per gallon or it translates to roughly €280 per tonne, whereas the PTC intensivises a low-carbon intensity and gives a different value for each feedstock. We are planning to ramp-up the plant in March again as the recent PTC guidance should work favor. So why? Excluding canola oil from the PTC puts American producers at a disadvantage. Canola oil, which mostly comes from Canada, is not eligible for the PTC; and with this, we can produce biodiesel approximately €35 per tonne cheaper compared to a US player who would opt for soybean oil, which comes from US. Biodiesel market development in Europe, just the next slide but -- back to our operating performance in the second quarter. The result of our margin management becomes evident when we look at a chart on the left. On average, spot spreads were almost €30 per tonne of biodiesel less in the fourth calendar quarter compared to last year. While the contract greenhouse gas premiums were lower this year, we still managed to improve product margins year-over-year. The demand for biodiesel was lower compared to the same period last year, mainly due to macroeconomic factors and reduced mileage. Additionally, parties with quota obligations have moderately put back on their blending by the end of 2024 since the transfer of quota was suspended. As a result, the decline in biodiesel imports from China only partially helped biodiesel spreads. If you now take a look, you will notice that the spread between biodiesel and rapeseed oil were significantly lower than last year. However, it's worth pointing out that both biodiesel and rapeseed oil prices, it rise during the reporting period mainly due to trends in the vegetable oil market. Next slide, Elena – Bioethanol. Thank you. In the Bioethanol/Biomethane segment, the sales declined to €147 million, as you can see in the far left bar, for Q2 2024-2025. This is despite the fact that production volumes increased. The sales trend was driven by lower sales prices and specifically lower greenhouse gas premiums. And the decrease in earnings to minus €15.3 million was primarily the result of a lower gross margin, somewhat offset by lower personnel expenses and favorable changes in fair value of commodity forward contracts and FX effects. Now well, it's also worth to mention that the dollar cash holdings had been increased to the upcoming payments at South Bend ethanol to safeguard the ITC, the investment tax credit, for the investment. But the general approach remains unchanged, which is to optimize with as little exposure as possible to avoid unnecessarily increasing sensitivity. Bioethanol market development. Well, due to higher blending mandates and the introduction of ethane in Poland, there was a strong demand for ethanol. Apart from that, ethanol remained a cheap lending component, so we expect that those with quota applications in Germany only slightly reduced their blending by the end of 2024. They hence continued to build up greenhouse gas quota, so plus. It won't be available until 2027 due to changes in regulation. Relatively lower bioethanol spreads during the quarter compared to last year can be partially linked to imports from the U.S. Now turning to the U.S. In the U.S., the good harvest and low corn prices drove the bioethanol prices lower in the summer months, as you can see in the chart on the right side. At the same time, manufacturers pushing production to a maximum and thereby squeezing margins compared to last year, as depicted on the left. Also seasonal demand trends kicked in, in summer, more driving lead to higher bioethanol demand, but margins usually dip in the winter when the demand drops in the colder months. Well, now back to Claus, who will give you more insight on the quota and what's happening there.
Claus Sauter: Thank you, Olaf. So amendment to the 38th Ordinance stabilized greenhouse gas quota pricing. So, during our second quarter on November 13, the German Federal Cabinet approved the draft amendment on the 38th regulation on the implementation of the Federal Emission Production Act put forward by the Federal Ministry of Environment, Nature Conservation, Nuclear Safety and Consumer Production, BMUV. This was an emergency measure, it's firefighting. In the preamble of the greenhouse gas emergency amendment, the BMUV, right, the measure is designed to increase the demand and the prices for greenhouse gas quotas in the future. With the amendment to the 38th [indiscernible] obligated parties lose the option to use their surplus CO2 savings, where a lot is fraudulent for offsetting purposes in 2025 and 2026. Since the publication of the draft, the demand for greenhouse gas quotas for 2024 has almost come to a standstill. This makes sense, because there will be now be a delay until 2027, before the 2024 surplus quotas can be used again. Even the 2025 surplus, if there will be a surplus, has to be delayed into 2027. So why would anyone buy them? As a result, prices have fallen sharply in the short-term for 2024. Meanwhile, the quota prices for 2025 have started to increase, as you can see on the slide in front of you. Unfortunately, the immediate recovery is slower than expected. We see two main reasons. Firstly, there are sellers in the market that are purely driven by liquidity needs currently, which works in favor of big oil, but transaction volumes should be rather low. Furthermore, greenhouse gas balances for 2024 remain open until the end of March. So there hasn't been much focus on anything beyond that yet. As the 2024 quota year closes, attention will likely shift towards 2025. Meanwhile, the focus on maximizing blending low-carbon intensity fuels as any unblended found of fuel would be a lost opportunity. To fulfill the target 2025 for the obligated parties will be a challenge. But recovery slower than expected. New guidance hit by market and technical issues at Nevada plant. So the slower than initially expected recovery of the spot greenhouse gas quota prices, the lower than planned greenhouse gas quota prices contracted to minimize risk and the technical issues at Nevada led us to reduce our EBITDA guidance for the current financial year on January 15. We are now expecting an EBITDA result in the mid-double-digit-million range versus previously €120 million to €160 million. And our expectation for a net financial debt at the end of the financial year remains unchanged at a maximum of €190 million. Let me give you now a bit more detail on Nevada. Unfortunately, quality issues with equipment at the ethanol production facility have been detected during the start-up phase. And this equipment is based in old DuPont plant, which we bought several years ago. So small things, but the repairs will take some time and it lead to a delay in our ramp up. An example is rust in wells that were originally installed in the existing facility and now needed -- need to be replaced one by one, so this is roughly about 200 wells. And now during the winter season, when it is terribly cold, it's a challenge, but we are doing progress. As I said at the beginning of the call, the EBITDA impact is a timing shift, not a structural issue. The ramp-up delay in Nevada postpones the expected positive EBITDA contribution further and the repairs at a single-digit-million-euro amount in costs. But despite the revised time line, our long-term outlook remains intact. We remain fully committed to the successful execution of Nevada. We now expect to provide a revised completion schedule with our Q3 results in May. The full utilization is key to running a bioethanol plant profitably. To mitigate the impact, we are working at full capacity ensuring that all the necessary improvements meet our performance standards. My colleague or our colleague, our CTO, Prof. Dr. is on site, actively managing the process, and we maintain a low utilization at below 25%. So let me now hand back to Olaf, who will discuss the net debt guidance. Olaf?
Olaf Tröber: Thank you, Claus. Yes, as highlighted by Claus, despite the lower levels EBITDA, our expectations for net debt remains unchanged. We have some flexibility in managing our CapEx, particularly in connection with South Bend, the pace of investment is being adjusted. Some further liquidity measures include the management of financial assets. Furthermore, we are optimizing working capital so that by the end the initially unplanned strategic buildup in inventories linked to the new quota regulations is seen to be off set. But shifting from our guidance to the outlook ahead. We are focusing on free cash flow growth. After a period of heavy investment, and in the context of the challenging market environment, we now focus on optimizing existing assets through planned modernization and cost-out investments. While our strategic growth projects, we are all being reviewed. The Ethenolysis plant buildout continues at full speed. And we have trust recently put out a press release on the achievement of a construction milestone, namely the installation of the distillation column. Meanwhile, the investment at South Bend ethanol to transform the plant into a state-of-the-art facility that combines the production of ethanol with RNG will be phased. We will take each construction phase one by one. Also, the investment in the CNG and LNG gas station network will be finalized this financial year. And with this, we are expecting to capture the rent in the value chain of biomethane. And also were to note any opportunistic growth initiatives are under review. Now Claus will give you -- will give us an update on market expectations, which are also seen supporting cash flow going forward. Claus?
Claus Sauter: Yes, Yes. I was on mute. Sorry. Thank you. Okay. So yes, we are optimistic. You see here accelerating greenhouse gas quota which was finally the target of that measurement from German regulator. So the accelerating greenhouse gas quota recovery is for the German market and for the European market imminently. We are optimistic about calendar year 2025 and 2026. As we near the end of 2024, quota year in March, attention will likely shift to 2025 in the quota market. So with the increase in greenhouse gas quota mandate to 10.6% in 2025, demand is expected to rise significantly. At same time, supply should tighten due to several key developments. First, UER projects, most of them from China, most of them are fraudulent. So UER projects are being discontinued and the option to carry over quotas into 2025 and 2026 has been eliminated. So the 1.2% UER options ROA and this amount has now to be fulfilled by physical molecules, more demand. Additionally, anti-dumping duties on Chinese biodiesel are adding pressure to supply. Also, China itself has removed the 13% export tax rebate on used cooking oil, which was effectively as a subsidy of around US$120 to US$150 per ton. So for exporting used cooking oil from China, you got a subsidy of US$130 to US$150 per ton. This is aimed at boosting domestic biofuel's production. On top of that, Indonesia is implementing stricter controls on palm oil derivatives like POME, HAPOR and used cooking oil, further restricting exports. All of these factors combined should create a tighter market for CO2 savings, which should significantly impact the market going forward. So Indonesia takes action on fraud indication, and that backs German greenhouse gas market. So on slide 16, you see the announcement. So what has happened? Indonesia exports of POME and HAPOR, which is finally palm oil, and which is feedstocks for the production of advanced biofuels according to European regulation have been rising sharply, surpassing crude palm oil exports. This article reads that POME and HAPOR exports reached 3.4 million tons, while crude palm oil exports were only 2.7 million ton. So over the past five years, POME and HAPOR exports grew by nearly 21% per year, while crude palm oil exports dropped by almost 20% annually. I think everybody who looks on these figures will realize very fast what's going to happen. So the Indonesian Trade Minister pointed out that these exports have far exceeded reasonable limits as normally only around 300,000 tons, not 3.5 million, 300,000 tons of these residues should be exported. This means that crude palm oil is being mixed with POME or HAPOR inflating export numbers. With only crude palm oil exports being taxed Indonesia, is losing a great amount of money, because POME are taxed with export taxes. So in response, the government introduced new regulations, in January 2025, to impose stricter controls on the export of palm oil derivatives like POME, HAPOR and used cooking oil. So with this left, I hand over to the operator. And we can start, with the Q&A session.
A- Unidentified Company Representative: Thank you so far for the insights. We will now move on to the Q&A. We received a couple of questions already. [Operator Instructions] We will try to cover as many as possible in the time we have. And we will start with the sell-side analysts, followed by buy-side analysts and investors. So let's dive right in. And the first question we received, are coming from Pablo from Kepler Cheuvreux. He has four questions. So maybe we'll start with the first one. Can you maybe help to detail which is the expected annual negative EBITDA linked to the operational issue in the U.S. bioplant, due equipment failure?
Claus Sauter: So I think…
Olaf Tröber: So can I?
Claus Sauter: Okay. Yeah. Go ahead. I think you answer question-by-question, not all the questions to answer. Okay, yes, go ahead, Olaf.
Olaf Tröber: So in Q1, the effect was roughly minus €5 million; and in the second quarter, approximately minus €9 million. So if you put it to an entire year, you would end up more or less with the €30 million. But again, that's just a calculation. It heavily depends on the ramp-up and how the ramp-up will happen. And as we outlined before, we will provide further information beginning of May with the release of our nine-month figures, please be patient.
Claus Sauter: But what I want to add here is, the question is that, what linked just to the delay in the ramp-up and the equipment failure? What Olaf mentioned is the overall ethanol result. So it's not -- the €9 million for Q2, is not only due to our delay in the ramp-up, it is also that right now, the ethanol margins in the U.S. are under pressure. And margins traditionally over the winter time are lower, so that will recover. And we expect that it will recover from March onwards. So it is not only the failure, it's also weak ethanol margins right now in the U.S. Okay. Next question, please.
Unidentified Company Representative: Yeah. Speaking about the U.S. plant, maybe we can add them on Mr. [indiscernible] from MWB Research. The consequences of the technical issue in the US, could they lead to other major challenges, including financial one? You mentioned that already with the EBITDA. When do you expect the facility to be fully operational? And when does it reach the full capacity?
Olaf Tröber: So right now, the plan is that after the winter time is over, we are ramping up quickly. So we expect that the plant can be, let's say, 18%, 19% capacity at the beginning of the new financial year. So we will not be able to manage it right now until the end of the business year, so June would be a little bit too early, but we expect during summertime that we can be on full capacity for ethanol and gas production. That's the plan.
Unidentified Analyst: Short follow-up question, at what capacity utilization do you reach breakeven in Nevada?
Claus Sauter: Well, it depends on ethanol and on the prices. But usually, such a plant must run between 90% and 100% fully utilization and then you are making money.
Unidentified Analyst: Perfect. Thanks for these insights. Leaving the US behind, can you update us, which is your view about RED III implementation in Germany in terms of timing and business implications?
Claus Sauter: So the plan should be that the RED III implementation should be finished at the end of May 2025, that's the time line given by the European Union. But we are getting now a new government, it will take time. So -- but it should be in the first half of 2025, the implementation of RED III. And our main expectation is not about increasing -- further increasing the volume, so the regulation what we have right now is really ambitious. But what we want to know is how the government will deal with the fraudulent CO2 savings coming from UAR, which are significant. We are talking about several million tonnes of CO2 savings, which we are finally not delivered. And the question is how we will find a way with the government to put these wrong CO2 savings until 2030 on top of the existing curve. So that is our challenge. And finally, also, what measures will be taken to provide fraud in the future? So some restriction regulation that not everybody can deliver into the European market, more controls on the feedstock side. And finally, which is the most important, ability for European, for German regulator to control production and feedstock supply, where it is coming from. So we are not so much focused on higher targets. We are more focused on getting the existing targets safer.
Unidentified Company Representative: Thanks for the insight. Another question from Pablo. Do you see feasible to maintain a similar performance in the biodiesel segment when compared to the H1 performance?
Claus Sauter: Well, it's hard to say now. We expected a faster increase in greenhouse gas prices, yes. And it is the beginning of February, it didn't happen. So we expect furthermore profitable biodiesel margins and biodiesel results. But if it will be in the same range like Q2, that's too early to say. The market is reacting very fast. We have -- we saw it especially in ethanol last week that ethanol prices were jumping up and down. So the market is very nervous at the moment. And margins can very fast increase and the same, they can also drop. So right now, I think we have -- the focus from the obligated parties is mainly on 2024 still. So as I said, I'm surprised that quota prices are still so low because the challenge to fulfill the obligation for 2025 is huge. We are talking about additional 10 million tonnes of CO2 savings. And right now, I don't know how they want to manage to bring these molecules into the fossil fuels because everywhere ethanol and also with biodiesel, we have blending wars.
Unidentified Company Representative: Thank you. Last question from Pablo, Kepler Cheuvreux. Are you seeing any change in demand pattern on RNG during the last month in your countries?
Claus Sauter: No. RNG demand is very stable. And the focus is since 1 or 1.5 years, not anymore only on Germany, since 1.5 years, it is possible to transfer renewable natural gas all over Europe, and our export volumes have significantly increased. So there is an increasing demand for RNG in Europe. So we don't see anything. And I think the most important thing is now -- and that's our look how the greenhouse gas quota prices will increase. And it's going to increase and come to a more profitable situation than there, we have still possibilities to increase our volumes and to produce with the same amount of molecules, what we are selling to realize higher greenhouse gas savings. But everything is now focused on what the quota price will do. And we are very flexible on that side. Our molecules, we have full books for the calendar year, so the volumes are fixed. And there, we have some flexibility to create more or less greenhouse gas savings. Technically, we are super flexible there, but there must be a business case. Finally, the time is running for us. We are not under pressure. The volumes are sold. Margins are, especially for the European market, reasonable. In the U.S. market, yes, we have there the technical issues, but also that shift from the blenders tax credit to the production tax credit makes absolute sense. The Biden administration missed to send out the details about the regulation in time. So, that is the reason why, at the moment, margins in ethanol are low. Biodiesel flow is also disrupted, but very soon now that will change, more clarity will come to the market; and therefore, I am strong that everywhere the margins will recover and will become more profitable, and we are not under pressure, as I said. We can observe the market and related to the recovery in the margins we are able to create more greenhouse gas savings or if the pricing is not sufficient, we will not do it. There must be some, let's say, premium on high greenhouse gas creation, which I don't see right now. Let's see what's going to happen. It will be a very interesting year 2025.
Unidentified Company Representative: The next question comes from Mr. Hesse. Jefferies. Do you expect better rapeseed oil prices to continue benefiting in the remaining quarters? It seems biodiesel spread is under narrowing quite a bit again in Q3 and Q4.
Claus Sauter: Well, rapeseed oil prices came already up significantly. But what is very interesting is during our presentation, we mentioned that canola oil in Canada has a disadvantage compared to soybean oil in the U.S. So, in Canada, farmers are not growing soybean, they are growing canola, which is rapeseed at the end of the day. So, all that canola oil was used to produce biodiesel, which went to the U.S. where you got the blenders tax credit. But this is over. And for a U.S. producer, who will get a production tax credit in the future, soybean oil is more interesting. So, that leads already now to the fact that canola oil has a discount compared to soybean oil and more and more canola oil as a rate and also canola is now coming to Europe. So, I agree, we should see higher rapeseed oil prices because of growing demand, but with the development in North America now, Canola is limiting the increase in rapeseed oil prices. So, to make a long story short, until new harvest, I don't expect higher rapeseed oil prices. It's limited by Canadian canola.
Unidentified Company Representative: Thank you. Another question from Mr. Hesse on the guidance cut. What was the impact of the US versus now updated expectation of GHG certificate prices? And why hasn't the net debt changed? Is it less CapEx?
Claus Sauter: Well, it's both, but I cannot give you a real figure, how much impact was US and much impact was, let's say, the greenhouse gas or the delays in the increase of greenhouse gas prices. Nevertheless, we made sensitivity analysis and finally, we came to the conclusion that there is a lot of uncertainty in the market and therefore, we have to correct our guidance because until June 13, there is not a lot of time left. The question about the net debt is -- I said it before, we are not under pressure. Our European, our German biofuel business is still profitable. We are making money. And with this money, we are financing our growth projects. So if the cash flow doesn't come in, we are able to adjust our investment projects. So that means that is what we are doing. We are adjusting investment projects. We take a stronger focus on cash flow management. Olaf mentioned it. And therefore, and I think that is also how we mean it, this is our limit, this €190 million, and we have an eye on it. It's can change again if the recovery from the market will be faster, but our clear focus is on cash management. So we are able to adjust and shift investment project a little bit more down the road.
Unidentified Company Representative: Getting back to the US, when do you think that you US have a positive contribution again?
Claus Sauter: So the positive contribution will be not business year. So our focus is now that the positive contribution will come in the next business year 2025-2026, that's the focus. And we are very positive that we will be able to achieve that.
Unidentified Company Representative: Also a question from Mr. Hesse on the balance sheet. What are the remaining credit lines available? Do you see any risk of additional equipment requirements in the next 2 years? And how is the CapEx plan or how many CapEx is left for the fiscal year '25 and '26?
Claus Sauter: Sorry, can you repeat that question? That was so much. I think we should put it in some...
Unidentified Company Representative: Yes, we'll slice it into pieces, and we'll start with -- the first one, what are the remaining credit lines available?
Claus Sauter: Well, this is something what we are not disclosing.
Unidentified Company Representative: Okay. But do you see any risk of additional equipment requirements in the next 2 years?
Claus Sauter: I think equipment that we have to replace some equipment on our running plant, something like that, no.
Unidentified Company Representative: Yes. And then yes, to bring the US fully under capacity?
Claus Sauter: No. The investment in Nevada is done. Now the focus is to ramp it up, there will be some small additional costs, I mentioned it during the presentation. But the big amount of investment is done. Now we have to ramp it up. South Bend is an existing ethanol plant, which is producing ethanol in feed. There, our focus is to bring it up back to nameplate capacity. And Welland, biodiesel plant was operating everywhere, especially in South Bend and in Welland, we have ideas and we have possibilities to implement our technologies, what we are using in our plants Germany, but nothing has to be done. So that is what I mean we are able to adjust and to delay investment ideas. The big investments are done and with our German sites, they are operating, they are always close to 100% full capacity, and it was important that we installed our filling stations filling stations because with the now we are able to bring more molecules into the market to create more greenhouse gas savings if we are able to make money. So also this investment is done. So what is left is ethenolysis. So ethenolysis is an investment for the future, where the Rapeseed methyl ester is still what we are selling right now as biodiesel will be the feedstock. So therefore, we expect that we are coming into new markets and realizing higher margins. But on the investment side, we are super relaxed and we can adjust it to our cash flow situation.
Unidentified Company Representative: Perfect. Getting back to the GHG certificate prices, what price do you assume in your guidance today?
Claus Sauter: Olaf, I think this we are not going to disclose as well.
Olaf Tröber: No. But it's close to the current market price, more or less, so just to give you a grip.
Claus Sauter: Okay?
Unidentified Company Representative: Okay. And about the price development, while it's clear you believe that the GHG price should recover, why aren't we seeing any improvement and when do you expect an improvement?
Claus Sauter: As I said, I think the focus from the oil companies, obligated parties, are right now at 2024 obligation, so they are finalizing their book and they have time until the end of March. So now we expect after that has to be done that during March, prices will start to increase. And yes, let's see where it is going. To me personally, I expect that it will go beyond EUR 200 per metric tonne of CO2 savings. But let's see. But that is the reason. So the obligation and the challenge for 2025 is extraordinary and that is our expectation that -- or that is our, let's say, we think that right now, their focus is mainly on finishing the 2024 balance sheet and after that then they will focus on 2025.
Unidentified Company Representative: Perfect. We received a couple of questions from [indiscernible] from the analyst [indiscernible]. So I will as well slice the questions a little bit. Should biodiesel make another strong EBITDA contribution in Q3? What about the rapeseed oil prices?
Claus Sauter: Well, the same. Yes, biodiesel always delivers very good results. This is already history. And as I said, I don't expect that rapeseed oil prices are further increasing. I think it will stay at that level, because it's limited through the fact that canola, Canadian canola oil has a discount. So, stable business. We have our margins. And with the recovery, if the greenhouse gas ticket prices will recover also the margins in ethanol and biodiesel have to recover. But if it's on the same level like Q2, I don't know.
Unidentified Company Representative: Okay. That could be the next question as well. Do you expect EBITDA of the bioethanol and RNG segment to continue to gradually improve over the coming quarters?
Claus Sauter: Yes, that is our expectation that it will significantly improve. Biodiesel and ethanol is different. Biodiesel, we have the molecule. We sell it. We have their embedded greenhouse gas savings, which go -- which will be blended. On ethanol gas, it's different. We have ethanol, which is also blended, but gas goes to the filling stations. So there at the filling stations, we are creating the CO2 savings, the greenhouse gas tickets. So if we are not getting their sufficient money, we can reduce the greenhouse gas ticket raise and also steer a little bit the market. So if it doesn't increase the greenhouse gas ticket prices, our renewable natural gas will go to other markets. We are not obliged to bring it into the transport sector and create greenhouse gas savings.
Unidentified Company Representative: Again, a question from Tim, for the U.S., how big was the negative EBITDA impact from South Bend and Nevada in Q2?
Claus Sauter: This we mentioned already. Olaf said it, in Q1, it was the negative impact of the U.S., ethanol segment in Q1 was minus €5 million; and in the second quarter, it was minus €9 million.
Unidentified Company Representative: And what would be the positive EBITDA swing in euro million when Nevada moves from the capacity 25% to 90% utilization?
Claus Sauter: Well, so the over -- our expectation to the overall ethanol contribution, it's not only Nevada, it's also South Bend, both, is that we expect on the full utilization and EBITDA contribution of €30 million to €35 million.
Unidentified Company Representative: Perfect. Thank you. And how will the U.S. tariffs affect your business in Canada?
Claus Sauter: Okay. Right now, there are no tariffs. But anyway, Canadian biodiesel will not continue to go to the U.S. because of that change production tax credit versus blenders tax credit. It makes no sense. The Canadian mandate for biodiesel in the past was fulfilled with U.S. subsidized biodiesel. This is over and has nothing to do with the tariffs. So if the tariff is coming, and we have already a plan, but it will not impact us, because anyway, Canadian canola and Canadian biodiesel now will stay in Canada. The Canadian obligated parties now have to buy their biodiesel from Canadian producers. That's clear. And on the other side, the tariffs into the US, they are not impacting us. We are a US producer. Maybe if Europe will then implement 25% tariff on US ethanol imports, I don't know. There is a local market and there is an export market. And anyway, once we know more about tariffs, how it will be, in one quarter, we are able to adjust our business.
Unidentified Company Representative: Coming from the US and Canada to Germany, what CDU election victory mean for the biofuels regulation?
Claus Sauter: I don't know. Let's see. The only thing what I can say is that during that UER fraud, there was significant support from the CDU. Finally, they were driving the out clay home [ph] that everything came on the spotlight. So as I said, we have an existing regulation where the targets are fine. They are already ambitious. And the next step will be the implementation of RED III. And there, I said it already, was is our focus. We need more controls. We need more safety that something like this would happened, the distortion of the ticket prices and that – it's strange, there is a European regulation, which want to ban palm oil until 2030 and now under the existing regulation, never came more palm oil as derivatives to the European market than any time before. So that shows how weak that regulation is, if it's not controlled. But finally, it's good that it happened now. Many years, we were arguing it and I think that the CDU has, let's say, more open ears to listen to our arguments and to the measurements, which have to be taken anyway. Otherwise, all the investments around renewables, and that's not only biofuels are under danger. It will happen the same with chemistry. It will happen the same with steel, with aluminum if there is no control where the product is coming from, fraud is happening.
Unidentified Company Representative: I will continue. And actually, there's just last question from the sell-side analysts. But as a reminder if there are follow-up question from the analyst please post them. So a follow-up question from Mr. [indiscernible] because he's actually saying he missed this information. What will be the total negative EBITDA contribution from the US in the fiscal year 2024-2025 including the need to replace the valves?
Claus Sauter: Olaf mentioned it already. We said we have, in Q1 minus 5, in Q2 we have now minus 9. So altogether, it is for the first half, around €50 million. And this contribution, another minus €15 million for the second half is our maximum what we expect.
Unidentified Company Representative: Okay.
Claus Sauter: Okay. So it will end up at hopefully under 30, but not over 30.
Unidentified Company Representative: Perfect. I'm just checking the last time, the questions we have received. There are more questions indeed. But actually, we are running out of time, so we will collect all the further questions, hand it over to -- and then we can make sure that they will be answered afterwards. So at this a little bit out of time, running over time already. I just want to say thank you for your insightful question and a big thank you for to you, Mr. Sauter and Mr. Tröber and to all participants, we appreciate your time and interest in Verbio. We would be very grateful if you would share your feedback with Verbio and our research team as well. And for this reason, you will find the short e-mail in your inbox already, and I just posted a link for short survey. So at this moment, from my side, have a great day, and we're looking forward to seeing you again the next time. And for this, please call our research hub at research-hub.de. Goodbye and take care.
Claus Sauter: Okay. Yes. But I hope I can make a final sentence. Harry, thank you very much for coordinating all the questions. I think that was our best call ever. You made it great. Thank you very much. We were able and -- we see it also now that some questions are repeating. And so -- and the rest should go to Alina. The only thing that I want to say at the end is I hope that we were able to transport the messages. The measures on the supply side and the demand side are done. There is this regulation, which was made in November last year. China is doing something, Indonesia is doing something. So nothing is necessary really now to come back to a reasonable market. We just need a little bit of time now that all these measurements become true. And, yes, saying that, thank you very much for everybody who was joining that call. Thank you very much, again, Harry, for you. And if you need more information, please contact Alina, and she will be happy to serve you. So thank you very much. Have a nice day. Hearing you again on our Q3 call. Bye-bye.
Unidentified Company Representative: We hope soon. Goodbye and take care.
Olaf Tröber: Thank you.